Operator: [Foreign Language] Welcome to the TC Transcontinental Fourth Quarter and Fiscal 2022 Results Conference Call. During this presentation, all participants will be in a listen-only mode. Afterwards, we will conduct the question-and-answer session and instructions will be provided at that time. As a reminder, this conference is being recorded, today, December 13, 2022. I would like to turn the conference over to Yan Lapointe, Director, Investor Relations and Treasury. [Foreign Language]. Mr. Lapointe, please go ahead.
Yan Lapointe: Thank you Sylvie and good afternoon everyone. Welcome to our fourth quarter and fiscal year 2022 earnings call. Before we begin, please note that the press release, the MD&A, along with complete financial statements and related notes, as well as the slides supporting management's remarks, are all available on our website at www.tc.tc under the Investor Relations section. A replay of this conference call will also be available on our website shortly after the call. We have with us today, our President and Chief Executive Officer, Peter Brues, and our Chief Financial Officer, Donald LeCavalier. But before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in listen-only mode and should contact Nathalie St-Jean, Senior Advisor, Corporate Communications, for more information. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. You can refer to the MD&A for a complete definition and reconciliation of these measures to IFRS. In addition, this conference call might also contain forward-looking statements. These statements are based on the current expectation of management and information available as of today. And they involve numerous risks and uncertainties, known and unknown. The risks, uncertainties and other factors that could influence actual results are described in the fiscal 2022 annual MD&A, in the Annual Information Form. With that, I would now like to turn the call over to our President and CEO, Peter Brues. Thanks, Yan. Good afternoon and thanks for joining our call. As usual, I’ll start with safety. I'm proud to report that in fiscal 2022, our injury rate decreased by 21%. This is a major achievement by the team. Although significant work remains to achieve an injury free workplace, this is a big step in the right direction. In terms of Q4 financial results, excluding the impact of the 53rd week and the Canadian wave subsidy, we saw a solid increase in profit. I'm proud of the actions taken by the team to make our clients successful and improve our financial performance. Following a disappointing first quarter, our packaging sector took action and demonstrated improved profit in each quarter that was followed. Q4 was no different, achieving over 10% growth in adjusted EBITDA on a comparable basis. The Q4 results were achieved despite a 1.8% decline in volume, due to the continued weakness in our Latin American business. We have taken action to adjust our cost base structure there to reflect current volume. In our print sector, into our marketing and book printing and pre media activities continue their growth path with double-digit revenue increase. Excluding the additional week, the sector continued to grow organically. Despite organic growth, inflationary pressures had a negative impact on our volume, cost structure and profit. Our media sector saw another quarter with a strong increase in both revenues and profits, mostly coming from our most recent acquisitions. In fiscal 2023, we will remain focused on improving profitability and cash flow from operating activities. Our solid financial performance with no major debt maturity until 2025 gives us the flexibility to pursue our disciplined approach to growth. And now over to you, Donald.
Donald LeCavalier: Thank you Peter. Moving to consolidate numbers on Slide 5 of the earnings call presentation. Last year, we had an extra week in the quarter, which we need to take into account when comparing the results. For the fourth quarter of 2022, we reported revenues of $802.2 million. When excluding the impact of the extra week, this is an increase of $83 million, or 11.5% versus the same period last year. This revenue growth was driven by the acquisition in our packaging and our media sectors. Price increases following the pass through of higher raw material inflationary costs to our customers, higher volume in our printing sector, due to the continued growth in our ISM, book printing & pre media activities. And lastly, positive exchange rate variation from a stronger U.S. dollar. On the profitability front, consolidated adjusted EBITDA for the quarter was $141.1 million. Excluding the Canadian wage subsidy of $3.7 million and the extra week of last year's on last year's results this represents an adjusted EBITDA growth of about 10%. The increase was mainly due to our acquisitions. We also benefited from a $2.7 million positive variation in exchange rates. Financial expenses decreased by $1.4 million to $10.5 million despite higher interest rates. As a reminder, we have no significant debt maturities before February 2025, thanks to proactive refinancing. The tax rate was 23.3%, leading to adjusted net earnings of $0.79 per share for the quarter. Now moving to Slide 6 for a sector review. In packaging, we recorded revenue of $433.5 million. The increase of $16 million versus last year was mainly due to the acquisitions of H.S. Crocker and Banaplast, the pass through of higher raw material prices and other inflationary costs and a positive impact from the exchange rates. This growth was partially offset by the effect of the 53rd week. In terms of profitability, adjusted EBITDA and packaging grew by $3.8 million, despite one fewer week in the quarter. Excluding last year's extra week, the positive contributions of $1.7 million from our two acquisitions and $1.6 million from exchange rates, adjusted EBITDA grew organically by over 10%. The growth is mainly due to the profit improvement from inflationary cost recovery. Moving to print on Slide 7, excluding last year's extra week, we recorded organic revenue growth of about $20 million or 6%. This growth benefited from another quarter of double-digit growth in our in-store marketing, book printing and premium activities. Printing adjusted EBITDA was $64.6 million for the quarter. The decline was essentially due to the impact of last year's additional week and the $3.7 million in wage subsidies. While the team implemented proactive price increases the inflationary pressures had an impact on our volume, and affected our cost structure and profit. The sector adjusted EBITDA margin for the quarter was 19.8%, reflecting the lower earnings but also the diluted effect of the past few buyer costs. In our media sector, we recorded another solid quarter with revenues and profit growth following our two acquisitions in fiscal 2022. Corporate expenses were lower than last year due mainly to non-recurring positive adjustments and lower stock-based compensation costs. Now turning to cash flow, we generated $103.5 million from operating activities, an increase of $10.8 million versus the same quarter last year, mainly due to improved working capital despite closing the year with a higher level of inventory. Our investments in CapEx at $34.2 million are in line with last year. At the end of the quarter, our net debt ratio was at 2.47 times a slight improvement from three months ago. Despite our growth CapEx and other investments, we continue to maintain a strong financial position. Finally, we distributed $19.5 million in dividends to our shareholders. Now moving to the outlook. In packaging, we expect volume growth and improve profitability in fiscal 2023. However, the economic environment remains uncertain and could affect demand in the short term. In print, we expect higher revenues in fiscal 2023 from growth in our ISM book printing activities and the transfer of higher costs. In terms of profitability, we expect lower adjusted EBITDA from the impact of inflation on volume and cost structure. We expect corporate cost at the EBITDA level to be around $40 million for the year. In terms of capital allocation, we expect CapEx in fiscal year 2023 to remain in line with 2022 at around $140 million as we continue our strategic investments before returning to a lower run rate in fiscal 2024. As far cash taxes, it should be around $60 million. On that note, we will now proceed with a question period.
Operator: [Foreign Language] [Operator Instructions] One moment please for your first question, which will be from Hamir Patel at CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi, good afternoon. Peter, I was wondering on the packaging side, are you starting to see signs of some of your customers destocking? And do you have a sense as to maybe how much higher their inventories are right now versus pre COVID?
Peter Brues: Hey, Hamir thanks for the question. In terms of the packaging business, what I would say is that it's a funny time in that we're going through or going into a recession. And usually I'd be telling you in a recession, people stay home more. And as a result, volumes go up. I think coming after COVID. I don't know that we can say that anymore. I think people just finished taking some time hanging out at home. And I think what's happened with supply chain over the last couple of years supply chain issues; we and they have built up inventories to protect ourselves. And now as interest rates go up, there's more and more pressure on working capital and both for us and them. There's there can be pressure to decrease those inventories. That's it. Haven't seen it of significance. We've seen some in specific segments where we saw a decline in volume in the quarter year-on-year. But overall, from a North American perspective, we were fine. And looking forward, while we have to be ready for the potential for a potential blip that could happen if there was a correction, we haven't, we don't see that happening yet.
Hamir Patel: Great. Thanks. Thanks Peter. That's, that's helpful. And just had another question on the printing side of the business. Just given some of the large price hikes that you need to pass through? Are you starting to see signs from some of your print customers about them, reducing circulation or page count? And maybe any sort of if there's a way to quantify that potential volume hit that you might be expecting.
Peter Brues: Sure. So first, what I'd say is, is that the print team has done a fantastic job over the last two years, doing making sure that our pricing reflects the volume that's being purchased, and ensuring that inflationary increases are passed through. That said, the result of that, while it's fully covered, the inflationary costs on our P&L, it does have an impact on volume. We have customers, when we're looking at the retail sector, we have customers that have fixed marketing budgets. And when pricing increases, they have to look at how to adjust, as you said page count or volume. And we've seen in the past quarter pressure on volume, usually we see October as a strong month. And we didn't see that historic strength repeating affecting volumes in the business specifically. And in newspaper, we saw people like post media for certain papers making the choice that they wouldn't print Monday editions. So I mean, that's been the effect in a quarter. I think what is of importance is the actions that we have to take as a result of that we have to look at from as a result. And what I can tell you is we're going to take a really close look at volumes and if we feel we need to adjust our cost base for a platform we’ll do so. I think of equal importance you guys have heard me talk about following through on our last person standing strategy. And while I think strategies are really sexy and fun to talk about the reality is it's it has to be about execution. And while we talked about last person standing in terms of newspapers, what we said is look as costs increase, and as volumes go down, our partners in the newspaper industry are going to be less efficient than a less efficient place to continue printing their own newspapers. And as a result, we have to partner with them and see if we can help them improve their profitability by moving the printing of newspapers in-house to us, and position them to free up some assets that may be captive on their site. So ton of work has been done. And what I can tell you is, is we're very close to finalizing a deal that would see us take over the volume of from a major publisher. So yes, having an impact on volume, and we continue, we'll continue to take actions to ensure we protect the volume we have. We find ways to grow our volume, and we adjust our cost base if we need to.
Hamir Patel: Great. Thanks Peter. And just following up on that would, if you do reach an agreement to bring some of that printing in-house, would that be similar margins to the overall segment?
Peter Brues: It would.
Hamir Patel: Would, okay, all right. That's all I had. I'll turn it over. Thanks.
Operator: [Foreign Language]. Next question will be from Adam Shine at National Bank Financial. Please go ahead.
Adam Shine: Thanks a lot. Good afternoon. Peter, just following up on one of the last couple of questions just related to printing. I mean, this has always been a segment where you guys have historically done a good job of driving efficiencies and keeping margins or at least protect the overall EBITDA you've, an answer to the last question, you alluded to the fact that, you'll look at where the volumes are, and make adjustments accordingly. But maybe you could talk a bit more proactively rather than necessarily react differently to anything out there in the marketplace, just on a efficiencies basis, do we do we start to look at the prospect of printing margins, dipping, lower in the teams? Or is there this opportunity to, through efficiency efforts preserve something a little bit closer to the F ‘22 levels?
Peter Brues: So, thanks for the question. From a percentage standpoint, it's your percentage, the declining and you'll appreciate that percentages changes as inflationary costs get passed through. So just the mathematics of it get. In terms of in terms of being able to preserve our cost structure, we continue to have opportunities and to maintain the most efficient cost structure. And I can tell you that, that we're doing a robust evaluation of our cost structure currently. And marrying that to where we see volumes going. And based on that, if we need to, we can take action to ensure that our margins remain at a solid level.
Adam Shine: Okay, thanks for that. And maybe when for Donald, just in regards to free cash flow, obviously helpful in terms of some of the outlook elements CapEx and cash taxes that you provided, obviously this has been a year of significant working capital usage. Can you speak at all around the working capital dynamic? And maybe provide a bit more insight as to where free cash flow goes next year?
Donald LeCavalier: Yes, well, it's hard to make any forecasts on the working cap, because we were affecting in the last two years, mostly because of two issues, first, the pricing and second, by chain issues. So and the team did a very good job to make sure that we have the right inventory to respond the demand bar clients. I think, said that, with what we see now the supply chain issue seems to be less of an impact. So therefore, on that side, we were certainly see a decrease of inventories in the coming quarters. But this is what we see right now. And over to pricing will depend where the pricing will goes, right now. It's a good direction, but it's really hard to make calls on over to over the next fiscal year, but you're totally right. The reason why today, we're at that leverage is obviously we did some Q4 acquisition this year, but a large impact on from the impact of the working cap that we have to finance in fiscal 2022.
Adam Shine: Okay, thanks for that.
Operator: [Foreign Language] The next question is from Drew McReynolds at RBC. Please go ahead.
Drew McReynolds: Yes thanks very much. Three from me. Just following up on the printing volume you alluded to, obviously text marketing budgets and your customers adjusting, can you just unpack a little bit in terms of the inflationary kind of impact versus actual direct macro impacts or economic impacts that you're seeing today? Second question on other revenues. Looks like the run rate is closer to $100 million or $110 million in annual revenues. Just wondering if you could just ballpark help us ballpark that for modeling purposes. And then the last one, just on free cash flow priorities, if you could just give us an update, given the macro environment, looking at 2023, just what has changed, if anything on your free cash flow priorities? Thank you.
Peter Brues: I can take the regarding your question Drew for the volume. For media, it's I think, what we have said when we did the acquisition, especially the FP acquisition is that there is some availability in those numbers. So therefore Q3, and Q4 are the peak as it is for the our, our media business that we had before. But you made the right assumption when with the numbers, because if you look at the other this year, we were slightly above 100. And obviously, you will have the impact of the full year of the acquisition. But as I said, the first six months, the last six months also represent the first six months of the business. So you need to you need to evaluate that when you analyze for media business. And you, for the third question? Can you – you want to take the first one?
Donald LeCavalier: I'll do the first one. I'll do, so in terms of first question. The, in terms of the flyer, what I'd say to you, is that what we've seen historically in an inflationary period, that what we know is a family can save $1,500 a year, using the flyer and what we've seen historically is customers use flyers as a means to help the consumer and attract them to their stores. And it remains something of value and when we see what they're doing, we can we continue to see strong volume in terms of that. That said, we usually have a stronger month in October. And we didn't see that. From that we're not, we're not at a point here where we can extrapolate what that means it was a month. And we're going to have to watch it closely. So there's not some macro macro effect, we do recognize that as pricing goes up or as the cost of our service goes up that can put pressure on volumes. But, it's not something at this point where we see something we forecast is having an impact on the business in the long-term. And we need to be ready and adjust our cost structure if that's what's required.
Peter Brues: And Drew, maybe for me, can you just repeat the third question for the cash flow business?
Drew McReynolds: Yes, sure. Just on access free cash flow priorities, dividends, debt repayment, kind of further M&A, just wondering how that has evolved, just given the macro environment seems to be changing month to month here.
Donald LeCavalier: Yes, for cash flow. Obviously, we're at 250 right now. And usually, the position would like to be following acquisition is near to or below two. And this is what this is what our target is, obviously, if there's acquisition and Peter can come in a little bit more on the M&A. This is part of the strategy of the growth, but right now it’s 247. It's really to pay debt especially in the short term current environment bid on that will be the first priority.
Peter Brues: The only thing I'd add is like, we're pretty proud that we closed four acquisitions in the last year, talking about $125 million of costs of that. And as we talked earlier, in the call, we've spent over the last two years is probably $200 million on working capital growing. And so in this environment, we’ll be prudent. And at the same time, we're committed to continue to grow the business. But I'm much more comfortable growing the business when the net debt-to-EBITDA ratio is closer than two it is right now. Right now it's about 2.47 and rather see it closer to two.
Drew McReynolds: Okay, super Understood. Thank you very much.
Peter Brues: Thank you.
Operator: [Foreign Language] Next question is from Stephen MacLeod at BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good afternoon, guys. My question is around the packaging business. And I'm just wondering, coming off of the Q4, where you saw a bit of a dip in volumes. And as you talk about the near term uncertainties, can you just give a little bit of color as to where your initial volume and pricing expectations are for 2023?
Peter Brues: In terms of 2023, first, why don't we talk in terms of packaging? We, we looked at a business that in the first quarter was a disappointment. And then we saw Q2 was a small improvement year-on-year. And then Q3 a strong improvement Q4 a strong improvement. And though that's baked by actions that the team has taken both in terms of growing volume, and we saw 2%, pure volume growth year-on-year, which I think in the economic environment, and the uncertainty we have, and COVID environment we had at the beginning of the year, or Omicron environment is an extremely solid performance, so we can be really proud of. And while I'm not going to spend a ton of time forecasting into next year, because of the environment, because the uncertainty around the environment, and what I talked about in terms of the potential for inventory, adjustments, etcetera. What I'd say is, we had, we've had weakness in lifetime for a couple of quarters, the war in the Ukraine continues to persist, and therefore, we're taking costs out. For me, what's important to say is that business remains a really strong business. And I think taking costs out if anything, positions it to be stronger coming out of that. In terms of the rest of our businesses, we've put a bunch of time and effort, whether it be in R&D, whether it be in capacity, whether it be in working with sales teams, to understand where we create value for customers. And as a result, we have confidence that we're going to continue to create value for shareholders next year. But at this time to start estimating what the year is going to look like from a growth perspective, etcetera. I think it wouldn't be prudent to do. But what I am confident in saying is the team's done the work and I expect this to continue improve, we understand that our credibility is built on surpassing last year, quarter after quarter, we've done it three quarters in succession. And our target has to be to do the same thing in Q1 next year.
Stephen MacLeod: Okay, that's, that's fair. Thank you. Thank you, Peter, appreciate it. And then -- already get a little bit of color around the other segment, media segment in terms of revenues, always a tough segment to model. Just curious if you know, if you can give a little bit color around, maybe how to think about how we did the [Indiscernible] stacks up for next year, just given this fact that Q4 was so strong.
Peter Brues: Well I think a good way to mobilize is look, what was our business on the educational side and media before the acquisition, and I will say the, the acquisition is a good. What we had before represents the acquisition is almost aligned with what we had before because it's totally aligned with our current business. So and in the media number before the acquisition was, I will say, by a very high percentage indication. So the best benchmark you can use is look at last year, and just do the same for your model for to represent the acquisition. As I said in previous question, for sure, Q3 and Q4 represent the biggest part of the business for both our current business and the acquisition we did during the year.
Stephen MacLeod: Okay, that's, that's helpful. Thank you very much. Thanks, guys.
Peter Brues: Thank you.
Operator: Thank you. [Foreign Language] Your next question is Mark Neville at Scotiabank. Please go ahead.
Mark Neville: Good afternoon, guys. I guess just curious if you're seeing any relief or decline in resin costs. And I guess if how you're feeling your inventory and packaging if there is maybe a risk potentially to short term margin as those prices come down and you have them.
Peter Brues: Thanks for the question. Resin, so P resin specifically it's been in has seen some decline. And we've been aware you'd see the industry has about 10% capacity that's coming on stream in the near term which has obviously an impact on pricing. So, yes, we've seen a decline in pricing. I can, I can tell you that the suppliers are attempting to stem the decrease in calendar Q1, by announcing an increase, we'll see if that can stick given capacity to come in on. That said, we're aware of what was going on. And the teams understood the importance of balancing security supply, with getting our inventories to a level where we can benefit from reduced pricing and raw materials. We’ll move to the next question.
Operator: Next question will be from David McFadden at Cormark Securities.
David McFadden: Oh, yes. Hi, a couple of questions. Just on the printing business, you talked about the revenue expected to be up fiscal ‘23. And then you also said that you expect EBITDA to be down. I was wondering if you can give us a little more detail or a better outlook on the printing EBITDA? Do you think it will be down, than single digits? I was just wondering if you could just help us with how much you think it might be down.
Peter Brues: I think the issue right now is difficult. So, what we're trying to do is in a time, that's uncertain, to give the best indication we can for the year ahead. What I can tell you is the amount of work we've done in the last year to maintain volumes has been significant. We continue to do that. That said, to repeat what I said earlier, in terms of there has been inflation, there continues to be inflation of costs. It's paramount that that we pass those through, we understand that that has an impact on volume. And volume obviously has an impact on our bottom line. But at this time to predict how inflation is going to continue for a year and how that's going to impact volume, I think isn't something that I'd want to do today. And as the year progresses, we can we can give a better view. But from our perspective today, is we'll do everything we can to hold volume. And given the current circumstances there's a risk that it will have an adverse effect on profitability, but to say what, what that impact will be at this point. I think it's too soon. And it's too uncertain to be starting to guess.
David McFadden: Okay, then a question on working capital. It was discussed earlier, in the course of the last two years, you've invested over $200 million in working capital. One of the attributes that allow investors, like about transponder has been strong free cash flow. But if you keep investing in this level of working capital really rose to free cash flow. So do you think that you could have a working capital this year actually maybe free up some working capital and get some of that back? Is that, Is that realistic even to think about that?
Peter Brues: It's a great question. So investing in working capital is a bit of a misnomer, isn't it? The reality has been that raw materials have risen massively. And as raw material pricing goes up unfortunately, the net of working capital is to the negative from a cash flow perspective. And you're coupled with that, where some raw materials really specific raw materials and today foils specifically continue to be difficult to acquire. And as a result, it's important to keep a certain level of inventory. That said, if we're looking at the coming year, and we look at the direction that resin is going, for example, as resin goes down our inventory, our inventories will go down from a pure price perspective, and you'll see a recovery of working capital. So while I don't want to predict because no one's been successful in like predicting the direction on a full year basis of raw materials, what I would suggest to you is as raw materials go down, you'll also see our working capital go down. And as supply chains free up, you'll see our working capital go down and we understand the inputs of doing that. And as we see PE specifically polyethylene specifically going down that we have we are focused on making sure that our inventories go down so that we can benefit from a decline in raw materials as opposed to the hurt if we have high cost inventory or raw material inventory on hand and pricing reflects lower costs or lower price. So in conclusion to your question long answer is we will do everything we can to see working capital go in a different direction this year.
David McFadden: Okay, all right. Thank you.
Operator: [Foreign Language] [Operator Instructions] [Foreign Language] There are no further questions at this time.
Yan Lapointe: Thank you everyone for joining us on the call today, and we look forward to speaking to you soon.
Operator: [Foreign Language] Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.